Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Badger Infrastructure Solutions Fourth Quarter 2025 Results Call. [Operator Instructions] As a reminder, this event is being recorded today, March 6, 2026, and will be made available on the Investors section of Badger's website. I would now like to turn the call over to Anne Plaster, Director of Investor Relations.
Anne Plaster: Good morning, everyone, and welcome to our fourth quarter 2025 earnings call. Joining me on the call this morning are Badger's President and CEO, Rob Blackadar; and our CFO, Rob Dawson. Badger's 2025 fourth quarter earnings release, MD&A and financial statements were released after market close yesterday and are available on the Investor Relations section of Badger's website and on SEDAR+. We are required to note that some of the statements today may contain forward-looking information. In fact, all statements made today, which are not statements of historical facts are considered to be forward-looking statements. We make these forward-looking statements based on certain assumptions that we consider to be reasonable. However, forward-looking statements are always subject to certain risks and uncertainties, and undue reliance should not be placed on them as actual results may differ materially from those expressed or implied. For more information about material assumptions, risks and uncertainties that may be relevant to such forward-looking statements, please refer to Badger's 2025 MD&A along with the 2025 AIF. I will now turn the call over to Rob Blackadar.
Robert Blackadar: Thank you, Anne. Good morning, everyone, and thank you for joining our 2025 fourth quarter and full year earnings call. As we always do here at Badger, we'd like to start off with a brief safety moment. We launched our Make Safety Personal campaign again this year in the first quarter. This will be the third consecutive year we've leveraged this program, and we continue to see our safety results improving across the entire organization. This campaign embodies the team's personal commitment to continuous safety improvement. Badger believes having a safe workplace is critical to our people and to our success, and we remain committed to building on this momentum. Over the past 5 years, Badger has doubled the size of the company entirely through organic growth. We launched a strong, successful and well-performing commercial strategy anchored by an industry-leading national accounts program. We are beginning to fully leverage our internal manufacturing facility in Red Deer, Alberta, which is producing world-class hydrovacs and has been able to flex up to support our current strong customer demand. Our sales and management leaders across the entire organization continue to deliver one of the most efficient, safest and most reliable hydrovac service offerings in the market today. This has allowed Badger to continue to expand our competitive moat across North America. We look forward to continuing this growth journey for the next 5 years and beyond. Now on to our 2025 results. Our record top line revenue of over $830 million grew by 12% year-over-year, reflecting the strength in Badger's core end markets and customer demand. We were able to fulfill this demand through increased utilization and continued year-over-year growth in our fleet. We continue to see this trend into 2026. Adjusted EBITDA outpaced revenue growth, up 13% year-over-year. These results highlight Badger's strong operating efficiencies and the optimization of our overhead support functions. Our adjusted EBITDA margin increased to 23.8% compared to 23.6% in 2024. We achieved RPT or revenue per truck per month of $41,672 in 2025, up 5% compared to last year, largely due to improvements in our fleet utilization. Badger ended the year with 1,723 hydrovacs, growing the fleet by 5% overall in 2025. The Red Deer manufacturing plant manufactured 210 hydrovacs. We refurbished 35 hydrovacs, and we retired 130 units during the year at the high end of our revised build and retirement guidance. As we look ahead into 2026, we see extraordinary demand and opportunities across almost all of our end markets. To capture this demand, we plan to build between 270 and 310 new hydrovac units, a record build rate for Badger manufacturing. Our fleet plan also includes refurbishing between 30 to 50 hydrovacs and retiring between 130 to 150 units. This plan allows us to grow our fleet in 2026 by 7% to 10% net of retirements and spend between $198 million to $230 million in capital. Included in this capital range are investments of $15 million to $25 million with the launch of 2 additional service lines that are intended to complement our existing hydrovac businesses. While the revenue and adjusted EBITDA contributions from these initiatives are not expected to be material in 2026, we believe these additional service lines will support Badger's long-range strategic growth plans into the future. I'll now turn the call over to Rob Dawson to discuss our Q4 financial results in more detail.
Robert Dawson: Thanks, Rob. As you saw in our fourth quarter release, the team delivered a solid performance with record revenue and strong operational performance. Fourth quarter revenue grew 14% compared to 2024, driven by continued fleet investments to capitalize on strong demand across our U.S. operations. Our adjusted EBITDA improved to $44.9 million, an increase of 2% over the prior year, while adjusted EBITDA margin was 21.5%. As we have discussed, with the ramp-up in our growth rate in the second half of 2025, we are making investments to position Badger for sustained long-term growth in both our scale and our profitability. These investments include new additional branches to further capture market growth and densify our position in core markets. We are also adding certain operational and commercial leadership positions to ensure capacity for continued growth and scale. The initial launch of our Operational Excellence program expected to drive efficiencies across all of our field locations and the accelerated hiring and training of operators to meet our increased truck build rate. Again, these investments will build capacity for longer-term scale and profitability, but have initially impacted near-term margins. We have continued to invest in systems and processes to ensure that our functional support and general and administration spending grow scalably at a lower rate than our revenue. We are seeing the sustained value of these investments. G&A expenses were $10.9 million or 5% of revenue in the fourth quarter of 2025, 100 basis points lower than the prior year at $11.3 million or 6% of revenue. And finally, our adjusted earnings per share was $11.6 million in the quarter compared to $12.7 million in the prior year. Turning to the balance sheet. We continue to maintain a disciplined approach to capital management, preserving financial strength while supporting strategic investments. Our compliance leverage ended the year at 1.3x debt to EBITDA in the bottom half of our 1.0 to 2.0 targeted range. Looking ahead to 2026, our intention is to continue returning capital to our shareholders through both the NCIB and through dividends. We do expect to remain within our 1.0 to 2.0x total debt to compliance EBITDA target range throughout 2026. With this ample balance sheet capacity, we have plenty of flexibility to continue investing in our organic growth strategy to support initial investments in new service lines and to continue to return capital to shareholders. To that end, we were pleased to announce that the Board of Directors has approved a 4% increase to the quarterly cash dividend. This will be effective for the first quarter of 2026 with payments to be made on or about April 15, 2026, to all shareholders of record at the close of business on the last day of the quarter. In total, during 2025, we returned $31 million to our shareholders, $18 million in dividends and $13 million towards the repurchase of 492,800 common shares for an average price of CAD 37.78. Before concluding, I can provide a brief update on the current tariff environment. Badger's manufactured units remain compliant with the Canada-United States-Mexico Agreement or CUSMA. And in 2025, we did not incur any direct tariffs on our units delivered to the United States. In the fourth quarter, heavy-duty truck tariffs were announced by the U.S. administration and subsequent guidance was released in early 2026. This indicates that a 25% tariff will be payable on non-U.S. content for trucks and components crossing from Canada to the United States. If we assume a 25% tariff on the non-U.S. content of our units, Badger's tariff exposure could be in the range of an additional $18 million to $30 million for 2026. We are considering a number of alternatives and options that can mitigate the impact of these tariffs on Badger's manufacturing costs. As the long-term impacts of this tariff environment continue to evolve, we will be prepared to respond accordingly. I will now turn things back over to Rob Blackadar for some final comments. Rob?
Robert Blackadar: Thanks, Rob. So before we open it up for questions, I would like to share a few last thoughts regarding our outlook. Looking ahead to 2026, we expect a continuation of the strong growth in our end markets and customer demand we experienced in the second half of 2025. Badger's industry-leading footprint, well-established commercial and pricing strategies and plans for continued investments to expand our branch network in key strategic markets leave the company well positioned to support our customers' growing needs. While we are pleased with our full year 2025 guidance -- I'm sorry, 2025 performance, we believe Badger is set up for even more success in 2026. Our branch market coverage continues to be the best by far in the industry and growing. We are able to support our customers across 44 states and 6 Canadian provinces. We have the largest fleet of hydrovacs in North America with one of the youngest fleets in the industry. Badger's dedicated national accounts program is an industry-first and industry-leading customer service offering to serve North America's largest contractors, public utilities and infrastructure customers. Our vertical integration in which we manufacture our own trucks provides substantial cost and fleet flexibility advantages. Additionally, our unrivaled fleet and workforce fungibility allows Badger to support customers at every level within local, regional and national markets. All of these capabilities position Badger to capitalize on various strategic key industries, including power generation, transmission and distribution resiliency improvements, water-related infrastructure projects, reshoring of manufacturing plants back in the United States, various transportation projects and also data center projects, just to name a few. These projects are incremental to the ongoing maintenance and renewal of aged infrastructure in many of our more mature markets. Overall, we believe the long-term fundamentals of our business remain strong, supported by favorable tailwinds and sustained infrastructure and construction investments across our major markets for the years to come. So with those comments, let's turn it back to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question is from Yuri Lynk from Canaccord Genuity.
Yuri Lynk: Robert, just looking for some additional clarity on the CapEx spend. I mean the $170 million to $200 million, I understand that there's about $20 million in there for the new service lines. Even if I take that out, it kind of implies the cost per truck much higher than what you experienced in 2025. So is there anything else in there? Like what explains the elevated capital spend in there, if it's not the truck builds?
Robert Blackadar: Rob, do you want to grab it and then I'll pick up after you.
Robert Dawson: Yes. That sounds good, Rob. Yuri, a good question. We spent $125 million on CapEx in 2025. And we've given guidance of pre-tariff of $170 million to $200 million. And so we roughly increased our spending outlook by about $50 million. And as you mentioned, $20 million of that, the midpoint of the range we provided is investing in new service lines. And then the other $30 million is simply an increase in our truck build rate. Recall that while at the plant truck cost is in that $415 to $420 per unit, if you factor in transportation and delivery, licensing and probably most materially FET, the landed cost of a truck into our operations is $450,000 per unit. And that cost is not expected to change appreciably over the next year. So $30 million for new trucks and $20 million for strategic initiatives and the rest of the spending is largely in line with where we have been. What are those amounts? We do spend a little bit on ancillary equipment every year. Think about the trucks that can support our operations like combo trucks, rock swingers, dump trucks, those sorts of things. We are continuing to invest in IT and process improvements in that $5 million to $10 million range each year. And then we do make modest investments in our manufacturing plant each year as well. So largely in line with our current trends with the 2 big items as the uptick.
Yuri Lynk: Okay. I understand that the tariff situation is fluid. But the build rate guidance is at the high end, kind of pushing up against the -- I think it's 350 units per annum of capacity at Red Deer, the top end is 310. So when do we start thinking about a potential U.S. manufacturing footprint?
Robert Blackadar: Yes. So I'll grab that one, Yuri. We have always had the concept of as the company continues to grow and scale, at some point, we would need a second facility, a second manufacturing facility. And we've had that in our long-range planning for a pretty good while since I've been here at the company. As we started to scale the business, we're starting to realize that we need to be accelerating that decision-making. And so even at our most recent Board meeting, we just recently wrapped up, that discussion of let's start looking into what it would look like, the timing and how we would start to move toward that second facility, we're actually underway with getting some of that information and pulling that together. We do have a lot of additional reasons other than just scaling. It allows us to have redundancy from a risk standpoint. So instead of having all of our manufacturing only in one facility, obviously, if we have a secondary facility, we would probably do a manufacturing plant in the United States. I don't think that would be a surprise for anyone. And if we were to do that manufacturing plant in the United States, it would probably give us a little bit more efficiency because of the amount of volume we do in the U.S. as well as a secondary benefit would be probably even more relief from a tariff standpoint. And so there's a lot of benefits for us to get going after a second manufacturing strategy. It's something that we're going to be working closely with our Board of Directors on. And at the right time, we're going to -- we'll have some movement on that. And obviously, once that is more solidified, we'll be happy to report that out.
Operator: Our next question comes from Ian Gillies from Stifel.
Ian Gillies: As you think about 2026 and growing the fleet on average by 8.5% this year, do you think there's enough other items, i.e., pricing and utilization that could perhaps get revenue growth above the, call it, long-term average of 12% to 14% this year?
Robert Blackadar: We believe that the markets -- and I shared this at a recent investor conference that Rob and I were at in January, but we believe the markets are so strong, Ian, that there is potential for upside to our plan and to what we're looking at in 2026. I've been in the construction equipment rental space and the exact same end markets that Badger services has been the business I've been in for -- over 32, 33 years. And I've never seen the end markets be as strong as they are right now and the runway ahead of us for the next 3 to 4 years, maybe even longer than that. We don't normally start to prognosticate beyond about the 4-year mark because it just gets so much more opaque and gray out there. But for the next 3 to 4 years, very, very robust end markets and the amount of projects coming at us would really lend us to believe that we should have a pretty solid 2026 and beyond.
Ian Gillies: Understood. And maybe as you went through your work to think about this capital investment, putting more trucks in the field, new service lines, et cetera. Can you maybe talk about how you think it impacts where you could potentially end up in the future in the EBITDA margin guidance range or business plan range of 25% to 30%. I know that depends on cycles and how good a different year is, but maybe articulating how this helps put you in that range and whereabouts would, I think, be useful.
Robert Blackadar: Yes. I'll start with that, and then I'll let Rob kind of add his thoughts on that. So certainly, as we continue to scale up the business, we believe that -- and the market demand is out there, we believe that on the incremental revenue and the growth revenue, we should start to see more and more profitability, I think in terms of flow-through and operating margin. The -- one of the catalysts that we see as an opportunity is we've kept our overhead and our G&A and everything at very reasonable levels. And for a little bit there, we were actually probably somewhat high a few years ago, and we got a lot more efficient in those areas of the business. And since we've been layering on growth, we haven't had to add a lot. Rob even mentioned that in his commentary. And so we should start to see some incremental dollars start to flow through. Right now, we're in this a bit of just a very short transitionary phase where we've loaded in some short-term overhead to hire up additional operators. But we believe when all those operators are fully trained, and remember, we're a 90- to 100-day onboarding process that you'll start to see us moving back into our more traditional kind of range that we're aiming for. In addition to all of that, the Operational Excellence program that the business is underway with, and we launched it company-wide in January 2 months ago, very excited about what that's already showing from some pilots at the end of last year and what that's going to start to bear fruit on. So that alongside of the business growth and us keeping our cost under control is what's going to really propel us into the range. And then, Rob, if you want to add anything to that.
Robert Dawson: I think the final leg of that stool is the data platform that we set up and have matured over the last year. So we have a very timely and robust data set available to us. And in the coming year to 2 years and going forward, we are starting to leverage that data set not only for more timely and better targeted decision-making, but also bringing in the power of some of these large language models to help us to get to broad-based decisions in a more intuitive and quick way. So automation and data performance, I think, is going to be the third leg of driving our margin forward.
Ian Gillies: That's helpful. And if I could just maybe sneak in one last one. Are you seeing anything in any of your key markets in the U.S. on the supply and demand side, whether it be from competitors or other types of excavation that are negatively impacting margins in any way, shape or form? Or is this purely just we're investing in the business and it's going to turn at a later date?
Robert Blackadar: Yes. So we're not seeing anything material. I mean, certainly, there's inflationary cost and not in any particular market, but just in general across all markets that everyone is burdened by. So obviously, you have your labor, your wages, cost of fuel, even though we did implement a fuel recovery fee post-COVID. And as fuel fluctuates, it becomes less of an issue here at Badger. But I do believe some competitors have some headwinds with that who don't have that floating fuel recovery fee -- fee recovery. The -- but there's nothing in particular that I see either Badger having some disadvantage on our margins or competitors having an advantage or disadvantage as well. I think we're all in the same markets. And right now, with what's in front of us, for Badger, if we were not to invest and continue to scale up, we would run the potential to start not growing and keeping our market share and growing our market share. And we're just determined to be and remain #1 and just have long-term long tail of growth and performance. And so that's my thoughts on that. And Rob, if you want to add anything to that?
Robert Dawson: I don't have anything to add to that comment, Rob. I mean we are seeing -- I'd say inflation in construction industry is ahead of the CPI number. But as Rob mentioned, we've got already existing things to be very flexible. We don't have to spend a lot of time to get at systems that we already have in place to capture things like price, fuel recovery and those sorts of things. So we've been quite adaptable to the environment that we're in, and we'll continue to be.
Operator: Our next question is from Tim James of TD Cowen.
Tim James: My first question, just looking at the fleet plan for 2026, the manufacturing is going up fairly significantly. And at the same time, the retirements are going up fairly significantly. Is there anything that's going on that causes that mix? I mean the fleet growth, again, in that 7% to 10% range. But I'm just wondering in terms of sort of useful life or the economics of newer units versus older ones. Can you talk about any shifts there just given the increases in both sides of the fleet growth equation?
Robert Blackadar: Yes. There's nothing really material changing as far as is the fleet aging differently? Are we seeing more engine failures or any problems? We're not. In fact, I would suggest that what Rob was talking about on the previous answer in reference to data and leveraging systems and processes and a little bit of AI, but leveraging that with our fleet management tools, we're actually seeing solid efficiency there. What's happening, though, Tim, is we are scaling the business. And if you think about it, when I joined the business in July of '21, we had roughly 1,200-plus hydrovacs. And today, we just announced we ended the year at 1,725 (sic) [ 1,723 ]. And we're continuing to scale and grow. And as you can imagine, as we grow, we are going to continue to grow our build rate and you're also going to have a certain level of retirements that are commensurate with that. We are continuing to age our fleet the exact same. We're not trying to accelerate retirements nor are we trying to delay them. We're running the company in the same manner as we have. Probably the biggest nuance though, is the refurbishment. If you think about the refurbishments, it's just something we introduced a couple of years ago, and we've seen good benefit to that. And we're going to continue on that process as well. So that's the kind of a clear answer, but we're not changing our fleet management model.
Tim James: Okay. My second question, I'm just wondering if you could take a minute and sort of review the specific kind of ground level initiatives that are involved in the Operational Excellence program.
Robert Blackadar: Yes, sure. So what we have done, and this is where some of the investments and the -- when we say investments, like we put some overhead into the business, but it's very similar to Operational Excellence programs I've seen at different companies I've worked at in the past. And we go in and we evaluate every aspect of a branch in our location. So if you think about it, Tim, we have 140 locations. And historically, they've been somewhat operated like independent businesses. There were no consistent constant processes and flows across the branches, et cetera. And what we're starting to realize is there's a lot of efficiency to be had just in how we operate. So for example, just a couple of easy examples, but we have a whole list of these we can go through with you after the call or at any time. But for example, how we dispatch our trucks. Not every branch dispatches the same way and having a common dispatch system. And so we believe there's operational efficiency of 15% to 20% to get even more efficient in how our trucks are routed and the projects they go on and starting to stack and load jobs, which will drive a lot of labor efficiency and utilization. And if you think about the lift on that, that's massive amounts across 1,700-plus trucks. Second thing, second example that may be helpful is even as basic as how we fuel our trucks. So running Class 8 trucks, we run a tremendous amount of diesel that goes through. But some of our branches will actually do their fueling in the morning. Some of our branches will do their fueling in the evening. Some of the branches have on-site fueling. Some of the branches use truck stops or et cetera. And what we've realized is there is a much more efficient way for us to start fueling all of our trucks across the entire organization. And by doing it in a more efficient, consistent way, we can actually start to leverage our fuel spends and start to control our programs to where all the fueling is happening the same way, and it drives a lot of efficiency because if someone is fueling a truck at the end of the day, sometimes there will be in an overtime situation, and we're paying someone 1.5 to 2x their wage to sit there and fuel a truck. And as you know, our trucks take several couple of hundred gallons of diesel each truck. So it takes time to get the fuel in the truck. If there's a way for us to avoid having to pay overtime, you start to drive efficiency. That's just one little glimpse along with dispatch, along with the branch flow, along with how we get our drivers out in the morning and what's the most efficient way, that's being standardized across the entire organization. And as Rob and I have shared, we believe once we have about a year -- a full year of that rollout happening across the organization, we're going to start seeing it becoming more material in our margins and move us from the lower end of our range to more toward the middle part of our range of 25% to 30% adjusted EBITDA. All that, though, takes people, and that's the investment. So it takes people to actually go and roll this out at every single branch. It takes a team to coach and teach our local branches how to do it and then make sure it sticks and it's consistent and then following up. So that's the investment we're making now, but we think it will have great returns longer term. So hopefully, that gives you a little bit of a peek behind the kimono there.
Operator: Our next question is from Krista Friesen from CIBC.
Krista Friesen: Maybe just to dig into that last question a little bit more. Is there anything that we should be thinking about in terms of the cadence of your spending over the next several quarters here? And will it be kind of linear over the quarters? Or how should we think about that?
Robert Blackadar: Yes. So I'll start, and I'll let Rob pick up where I leave off. So as far as from a perspective of branch expansion, we're going to continue to expand in key strategic markets. It's something we've been talking about the last few years, and it's starting to accelerate where if we have a branch that is in a larger metro area, think in terms of top 12 MSAs in the United States. The -- we believe that by having more than just one single location in a very dense but broad geography, we can start to grow our market share. We've realized a few years ago that some of our competitors are just out of reach of where Badger services. And so by us adding a second, third, sometimes even a fourth location, we can start to capture and not lose share, but we can actually grow our share and our profitability in those markets. And so we'll continue with that. We're actually slated to have about half a dozen branch expansions in 2026. Regarding us ramping up our operator hiring, which we started much heavier and earlier than we normally would in Q4, and it's continued a little bit into Q1, we just see the amount of demand, Krista, that was happening in the marketplace and much earlier. There really wasn't a lot of seasonality. That's why you saw the revenue pop like it did in Q4. But we realized if we don't have the operators and in place trained halfway through toward the end of Q1, we have the risk of missing out on some of the market and the opportunity to grow. And so that's why we front-loaded some of the operator hiring. That's not going to continue in that fashion. So that's something that really was a phenomenon for Q4 and a little bit into Q1 here because we'll have normal operator kind of an employee base rather than this front-loading of a lot of operator hiring. And then the last part is on the Operational Excellence, which I just laid out. We're going to -- the cost that we put into the business, that is going to -- it's about an 18- to 24-month process. And then that cost will start to just be normalized as part of the business. Operational Excellence will go on somewhat in perpetuity because there's always opportunities to improve your efficiency, but you don't need as much overhead cost as far as the rollout. At that point, it becomes more of a what are some new efficiencies we can start to drive across the whole organization. So you don't need as many people to roll it out. So that will start to sunset after that 12-, 18-month period. So that's kind of our perspective on some of the overhead investments we've made. And Rob, if you want to add anything to that?
Robert Dawson: Krista, it's Rob here. I think really the only lumpiness in our capital is when we're ordering third-party equipment. And depending on lead times and the delivery dates of those is when we would pay for those items. So for instance, we mentioned hiring some ancillary -- buying some ancillary equipment as well as equipping some of the new service lines that we mentioned in this quarter's release. There will be some lumpiness to that. But overall, everything else is a steady drip on our capital spend. So the vast majority of this is going to be pretty stable.
Krista Friesen: Okay. Great. And then maybe just to follow on that. Should we assume relative stability in the RPT? I mean, taking into account normal seasonality, just wondering if you think there will be certain quarters of maybe a mismatch between your heightened truck build and then opening these new branches and deploying those trucks.
Robert Blackadar: Yes. I don't really see our RPT moving materially because of our fleet growth. Because what we're finding, Krista, is as we've started to ramp up the fleet builds, the RPT has been able to hold in steady. We've been very fortunate that there's enough demand in the market that our onboarding of new trucks into a market or into a branch, they go to work very, very quickly now and start producing revenue very quickly. So I just don't see that as being some big headwind Rob has shared a few times at investor conferences, et cetera, that utilization, while we've made a lot of improvements across the organization, we continue to see some utilization opportunities, and that's exciting, and that will continue to keep RPT strong. And if you want to add anything to that, Rob?
Robert Dawson: I think this is overall consolidated, Rob's comments are very true. We don't see significant changes in our RPT over the next while as we're scaling to grow. In each of the individual markets, when you open a new branch, obviously, RPT is going to dilute out a little bit as that branch starts from 0 and gets up to a same-store sales kind of concept to utilization. But over the entire network and fleet, those impacts will be a lot more diluted out and more difficult to see.
Operator: We have another question from Frederic Bastien from Raymond James.
Frederic Bastien: I was wondering if you could provide more information on the expansion that you're contemplating into adjacent service lines, please?
Robert Blackadar: Sure. So we -- every year, the company does a strategic -- or strategy session rather, with our Board of Directors and the leadership team, and we go off for 1 day to 1.5 days, and we will evaluate kind of our long-range plan for the company and how we view where the company can grow and expand and look for new opportunities to just drive improvement across the organization for the long term. And as part of that process, we are always evaluating our core business, and we're always evaluating additional businesses and service lines that may be complementary to Badger and our core business. And one of the things that's come up in the last few years and our customers are asking for it is us to start doing more work inside the fence or behind the fence at various industrial type plants. And so one of our strategic initiatives that we're underway with is industrial services, industrial cleaning services. And we did a somewhat of a soft quiet launch later in the back half of 2025 this last year, and we ended the year with 4 locations doing industrial services that are dedicated we found we're very pleased with early results. But as we said in our -- I think it's in our press release and the script, it's not material at this time. And so because of that, we're not really reporting or promoting the heck out of it, but we felt that we should disclose that some of the CapEx spend that we're spending in that to get that business ramped up. It's extremely complementary to our current business. It also provides us some a little bit of offset to our seasonality because a lot of the industrial work will be happening when some of our hydrovac work starts to slow down in the winter time. So it's pretty exciting that way. The other service line we're looking to get launched in 2026 here is the concept of trench safety is how we're branding it, but it truly is trench shoring and road plate. And it is to service because a lot of our customers are calling us after we dig the hole, they're calling us and saying, do you guys rent or could you provide trench shoring. So think in terms of a trench box, et cetera. it's a very accretive service line that we can offer. We're not looking to go compete head-to-head against a large trench shoring company or anything like that. We believe it's a value add to our existing customers. And so we're going to be launching a few branches with that, and that's what the CapEx is involved with. But more to come on that as well. They're just very, very early on in the launches of those 2 additional business lines, but we believe our customers, it makes Badger a lot more sticky and by us having those service lines available.
Operator: Thank you so much. We certainly appreciate all your questions. I will go ahead and turn it back to Rob.
Robert Blackadar: Thank you, operator. So on behalf of all of us here at Badger, we want to thank our customers, employees, shareholders and suppliers for your ongoing support that drives all of Badger's success. Operator, you may now end the call.
Operator: Thank you. This concludes today's event. Thank you for your time and participation today.